Operator: Welcome to the Range Resources 2008 conference call. This call is being recorded. All lines have been placed on mute to prevent any background noise. Statements contained in this conference call that are not historical fact are forward-looking statements. Such statements are subject to risks and uncertainties which could cause actual results to differ materially from those in the forward-looking statements. After the speakers remarks, there will be a question and answer period. At this time, I would like to turn the call over to Mr. Rodney Waller, Senior Vice President of Range Resources. Please go ahead, sir.
Rodney Waller: Thank you, operator. Good afternoon and welcome. Rang reported results for the first quarter in 2008 posting continued record production revenues, cash flow and analyst adjusted earnings. With the first quarter of 2008, we begin our sixth consecutive year of posting sequential production growth with our 21st consecutive quarter. We have posted on our Website supplemental tables to assist you in understanding many of the numbers in the press release. In the press release, we have furnished non-GAAP statements which will allow you to compare our results to our historically reported numbers which include the Gulf of Mexico operations that we sold during 2007. And in table five of the supplemental tables, we have presented a summary of reported numbers which could correspond to the analyst's models taking out the non-cash items. On the call with me today are John Pinkerton, President and Chief Executive Officer, Jeff Ventura, Executive Vice President and Chief Operating Officer, and Roger Manny, Senior Vice President and Chief Financial Officer. Before turning the call over to John, I would like to cover a few administrative items. First, we did file our 10-Q with the SEC this morning. It's now available on the home page of our website or you can access it using the SEC's EDGAR system. In addition, we've posted on our website supplemental tables which will guide you in the calculation of the non-GAAP measures of cash flow, EBITDAX, cash margins, and the reconciliation of our non-GAAP earnings to reported earnings that are discussed on the call today. Tables are also posted on the Web site that will give you detailed information of our current hedge position by quarter. Second, we will be participating in several conferences in May. Check our Website for a complete listing. We will be at the Calyon Energy Conference in New York on May the 14th and Deutsche Bank Energy & Utility Conference in Miami on May the 28. Now let me turn the call over to John.
John Pinkerton: Thanks, Rodney. Before Roger reviews our first quarter financials results, I will review the key accomplishments so far in 2008. On a year-over-year basis, first quarter production rose 21% meeting the high end of our guidance by $15 million today. This also marks the 21st consecutive quarter of sequential correction growth. The driver for the higher than anticipated production was exceptional performance by each and every one of our divisions. It was one of those rare quarters where nearly everything went right and essentially nothing went wrong. I must say, I haven't experienced many of these types of quarters in my career but hopefully we will have some more. Our drilling program was on the schedule throughout the quarter as we drilled 189 wells. We continued to be extremely pleased with the redrilling results and we are generating some very attractive returns. We currently have 33 rigs running. The 21% increase in production coupled with a 15% increase in realized prices drove record cash flow of $241 million. This is a whopping $79 million or 49% higher than the first quarter of last year and compared to the fourth quarter of '07 cash flow was up $51 million or 27%. We are most pleased on the cost side of our business. As our controllable cost were well in line with expectations and our margins increased sharply. Our cash operating margin for the quarter reached an all-time high of $7.15 per Mcfe, up 23% year over year and 20% higher than fourth quarter '07. By posting record production volumes keeping our cost in check and the benefit of strong prices, as you can see we've set the stage for another terrific and record year for Range and its shareholders.  Besides the operational progress, we completed three transactions already in 2008, which the results (inaudible) we make it for a better, more valuable Range. We completed two property acquisitions for $311 million. In both acquisitions, we bought additional interest in the Barnett Shale play where we've been very successful and where we see substantial upside. Conversely we completed one property sale in the quarter for $64 million. The sale included some shallow, higher cost oil properties in East Texas, where we did not own the deep rights. With regard to emerging plays, significant headway was made as we continued to drill some fantastic wells, expand our acreage positions and build infrastructure. And in addition, we continue to add high quality technical personnel to our teams working these plays, which gives us a significant advantage. All in all, I couldn't be more pleased on how much we have accomplished so far in the year. It's a real testimony to the entire Range team. With that, I will turn the call over to Roger to review our financial results.
Roger Manny: Thank you, John. The first quarter of each year is historically a very strong quarter for Range, and as John just mentioned, the first quarter of 2008 represents an exceptionally robust showing for the company. The first quarter of 2008 has again brought forth record quarterly oil and gas sales, including cash settled derivates, up to $322 million. Record quarterly EBITDAX of $265 million, record quarterly cash flow of $241 million, and record cash margins of $7.15 an Mcfe. John mentioned Range continued to high grade its asset base and drilling inventory during the first quarter, with the sale of our higher cost non-strategic shallow oil properties in East Texas for $64 million, and the acquisition of higher quality low cost Barnett Shale properties for $311 million. Looking at the first quarter, the big performance drivers were 21% increase in production and a 15% increase in realized oil and gas prices. These increases drove the 41% increase in oil and gas revenues from $228 million last year to $322 million figure this year. Cash flow for the quarter was 49% higher than the first quarter of 2007. And cash flow per share for the quarter came in at $1.57. That's 13% higher than the analyst consensus estimate of $1.39. Quarterly EBITDAX is $265 million, was 46% higher than the first quarter of '07. First quarter cash margins improved by 23% over last year from 5.8 per Mcfe in '07 to the $7.15 per Mcfe figure in '08. Sequentially, first quarter cash margins were 20% higher than the fourth quarter of '07 figure of $5.98 an Mcfe. Cash margins were boosted by favorable hedging results, higher liquids prices and better basis differentials. Book net income was impacted by three material adjustments: First, a non-cash $135 million pre-tax mark-to-market downward adjustment of our unrealized oil and gas hedges. This was due to higher prices at the end of the quarter. Second, a non-cash $27 million pre-tax mark-to-market expense attributable to the Range stock and marketable securities held on our employee deferred comp plan and other stock-based compensation. Third, a $21 million pre-tax gain on the January sale of our East Texas oil properties. Now, first quarter earnings also include a $3.8 million non-cash deferred tax expense which represents valuation allowance taken to one of our deferred tax assets and a reduction in state tax credit carry-forward. Now, our projected tax rate for the year still remains 38%. These two entries are discrete items and they will not impact our statutory rate going forward. Quarterly earnings calculated using analyst consensus methods were $95 million or $0.62 per fully diluted share. This compares to the analyst consensus estimate of $0.54. As Rodney mentioned, listeners are always encouraged to visit the Range Resources web site for a full reconciliation of these non-GAAP measures, including cash flow, EBITDAX and cash margins. Looking at the expense categories for the first quarter of '08, which for comparison purposes include the Gulf of Mexico results in the first quarter of '07, the big story is a positive impact our higher production had upon many of our unit cost measures. Cash direct operating cost for the first quarter was $0.96 an Mcfe compared to $0.99 in the first quarter of last year. For comparison, cash direct operating cost in the first quarter of last year without the Gulf of Mexico properties was $0.95 and that's essentially flat with the current quarter. Production and ad valorem taxes came in at $0.41 for the first quarter of '08 compared to $0.38 an Mcfe last year. Our prior quarter direct cash operating cost guidance, which was mid to high $0.90 range, remains appropriate for 2008. General and administrative expense adjusted for non-cash stock compensation items was $0.38 an Mcfe for the first quarter. Now that's down 5% from the $0.40 figure in the first quarter of '07. G&A expense will increase on an absolute basis this year going forward, as we progressively staff up our emerging play teams. So we expect to continue G&A to average in the $0.42 to $0.43 per Mcfe range for the rest of '08. Interest expense for the first quarter of '08 was $0.69 an Mcfe. That's $0.02 less than the first quarter of last year and $0.02 higher than the full year of '07. Higher debt levels and higher interest expense, partially stemming from our October '07 refinancing of $250 million short-term bank debt to long-term debt, will contribute to keep interest costs higher in '08 than '07. So, investors can expect interest expense per Mcfe to average in the low to mid $0.70 range for all of '08. Looking at exploration expense for the first quarter, excluding non-cash comp, this figure was $15.5 million, $4.5 million higher than the first quarter of last year, mostly due to higher seismic expenses. We anticipate that quarterly expiration expense including non-cash comp will approximate $18 million to $20 million per quarter the rest of year. Of course, that depends on our drilling success and the timing of our seismic purchases. Some the seismic dollars not spent in the first quarter this year will probably be spent in the second quarter, which may push exploration expense into the $20 million to $22 million range next quarter. Depletion, depreciation and amortization per Mcfe for the first quarter $2.12. That's compared to $1.84 of the first quarter of last year. The break down on this $2.12 figure is $1.95 representing depletion expense, $0.13 attributable to depreciation, amortization of other assets. And $0.04 came from expiring leasehold acreage. Our continuing DD&A rate should stay in the $2.12 range going forward. Looking at the balance sheet for a moment, two items are worthy of special mention. One, debt increased by $289 million, mostly to fund the Barnett Shale acquisitions completed in the first quarter. And two, book equity declined by $84 million, primarily due to non-cash derivative mark-to-market adjustments. These two events resulted in an increase in our debt-to-cap ratio to 47% at the end of the first quarter. Listeners should know we remain committed to our target 40% debt-to-cap ratio and we do expect to work this ratio back down over time. To add to our liquidity position, we increased the committed portion of our bank credit facility from $900 million to $1 billion effective April 1 of this year. This will allow us over $400 million in committed credit availability at the end of the quarter. We also added two new banks to the credit facility, concurrently with the increase, such that no single bank in the credit facility holds more than 6% of the total commitment. And also, we had no interest rate increase or change in loan terms with these changes. We ended 2007 on a high note with record operating and financial results and the first quarter of '08 proved to be a continuation of the trend, with another record quarter of production, oil and gas revenue, EBITDAX, cash flow and margins. While the first quarter set a high bar for Range going forward, the first quarter also illustrates the full performance potential of the organization when all of the operating teams exceed their targets. John?
John Pinkerton: Thanks, Roger. Now, let's hear from Jeff Ventura about our exploration development activities. Jeff?
Jeff Ventura: Thanks, John. I'll begin by reviewing production. For the first quarter, production averaged 371 million per day, 21% increase over the first quarter of 2007 and an 8% increase over the fourth quarter of 2007. This represents the highest quarterly production rate in the company's history and the 21st consecutive quarter of sequential production growth. Let's now review three of our key projects. First, I'll start with the Barnett Shale in the Fort Worth Basin. Currently, we have six rigs running in the Barnett and are continuing to drive up production. Net production at the end of the first quarter was approximately 95 million per day. In less than two years, we added approximately 70 million per day through the drill bit. The fact that we have been able to significantly increase our production by only running a few rigs speaks to both the quality of our acreage and our team. In total, we now have 108,000 net acres in the Barnett Shale. Our net unbooked potential in this acreage is more than 2.8 Tcf, which by itself could more than double the company's proved reserves. Currently, we have rigs drilling in Tarrant, Johnson, Parker and Hill Counties. Tarrant County continues to deliver strong results, with one of our most recent wells there coming online at a rate of 6.6 million per day. Our latest Parker County well was also very strong and tested at a rate of 5.4 million per day. We have also drilled, completed and fraced our second well in Ellis County. It's currently being flow tested and cleaning up. Another very impactful low risk project for us is our Nora area, located in Virginia in the Appalachian Basin. This is another project that has the potential to double Range's reserves by itself. There is significant upside to all three horizons in Nora: coalbed methane, tight gas sands and the Huron Shale. Range continues to drill successful CBM and tight gas sand wells in the field. 285 CBM wells and 50 tight gas sand wells are planned for this year. Finding and development costs net to Range continue to be around $1 per Mcf, which is among the lowest in the country. In addition, the wells produce very little water and have low lifting costs. Given its location in the Appalachian Basin, these wells receive a premium to NYMEX, so the combination of a great gas price, low F&D, and low LOE results in a good rate of return for the wells. Given the large number of wells to be drilled on current spacing and including successful down spacing, there are approximately 6,000 wells left to drill. The latest development in Nora is horizontal drilling in the Huron Shale. Our first well, which was completed in the fourth quarter, came online at an initial rate of 1.1 million per day. It cost about $1.2 million to drill and complete and although it's still very early, initial reserve estimates are about 1 Bcf. Given our working interest and net revenue interest, and remembering that Range owns the minerals, our net finding and development cost is about $1.07 per Mcf. This year, we'll be drilling 10 horizontal delineation wells across the 250,000 acre Nora block. We know that the Huron Shale has good thickness and gas content across the entire 250,000 acres because there are 90 existing vertical Huron Shale wells on the acreage. The purpose of the 10 horizontal delineation wells is to verify that the horizontal drilling works and is an effective way to economically develop these reserves. If the Huron Shale wells are successful, they will derisk about 1.5 Tcf of net gas to Range by year end. We recently began drilling our first horizontal Huron Shale well for 2008. Another high impact opportunity for Range is our Marcellus Shale play in the northern part of the Appalachian Basin. This project represents the opportunity to add 10 Tcf to 15 Tcf of net reserves to Range. The 10 Tcf to 15 Tcf is the net potential on Range's 650,000 net acres that we had previously disclosed in the play. The 650,000 acres is a high-graded estimate of our Marcellus acreage based on the current knowledge in the play. Range previously announced that it owns approximately 1.1 million acres total in the play. We are actively acquiring acreage and our high-graded acreage position now is approaching 700,000 acres. To date, we've drilled and completed 63 vertical and 15 horizontal Marcellus Shale wells and have an additional seven verticals and four horizontals waiting on completion. We just announced our last three horizontal completions which had initial production rates of 4.6, 2.6 and 5.8 million cubic feet per day. The last well was particularly exciting in that it topped our previous highest rate completion, which was 4.7 million per day and set a new high watermark for the company in this play. Range was the first company to apply modern drilling and completion techniques to the Marcellus Shale and kicked off the modern exploration and development of the play in 2004. We're currently way ahead of the pack in terms of total number of wells drilled. We were the first company to achieve rates in excess of 1 million per day on vertical wells and the first company to achieve success with horizontal drilling, with several wells now in the 3 to 5 million per day range. Our current focus is to begin development of our core areas, continue to delineate our acreage and aggressively add to our leasehold in select areas. We still see significant opportunities to grow our leasehold in multiple areas across the state and that we feel are highly prospective and we'll be aggressively pursuing the acreage. Given the success Range has had in this play, coupled with the success of others, competition for acreage has increased considerably over the last six months and the cost to acquire acreage has gone up significantly. We currently have three rigs running and will drill approximately 40 horizontal Marcellus Shale wells this year. Current plans are to pursue the play horizontally. 2008 will primarily be a year of delineation, acreage acquisition and building infrastructure. Significant volume growth will occur in 2009 and beyond. As I've mentioned many times before, Range is in five shale plays. Our strategy is to be leaders in the Appalachian Devonian Shale plays and the Fort Worth Basin Barnett Shale play and followers in the other three plays, which are the Permian Basin Barnett play, Floyd Shale in the Black Warrior Basin and Woodford Shale in the Ardmore Basin. Let me quickly update you on the three plays in which we are followers. As I mentioned on the last call, Range does not have any drilling plans in the Floyd Shale. We'll be watching the activity of others. In the Permian Basin Barnett play, we're drilling our first well and it should be at TD shortly. It has multiple objectives, including the Fusselman, Barnett, Woodford and Atoka. Our Woodford Shale acreage is in the Ardmore Basin. Range recently completed our first two operated horizontal wells there. The second horizontal well tested at a peak rate of 2.8 million per day. We have many other high quality, exciting projects, which I'll be glad to talk about during the Q&A. But to summarize, Range is in a great position. We have a proved reserve base of 2.2 Tcf. On top of that, we've identified upside of between 16 Tcf to 22 Tcf, primarily in low risk, coalbed methane, shale gas and tight gas sand plays. We have a great track record of converting that to value for our shareholders. Range is where we want it to be, a low-cost producer with a lot of low-risk built-in growth. In summary, we're in a terrific position to continue to build shareholder value on into the future. Back to you, John.
John Pinkerton: Thanks, Jeff. Nice update there. Looking to the remainder of 2008, we see continued strong operating and financial results. For the second quarter of 2008, we are looking for production to increase 20% year-over-year. This is similar to the 21% year-over-year increase we achieved in the first quarter. With sharply higher production and strong oil and gas prices, we again anticipate second quarter revenues, cash flow and earnings will be substantially higher than the prior year period. Looking beyond the second quarter, we anticipate production to continue to increase in the third and fourth quarters as a result of our drilling program. Based on the solid first quarter results, we are well on our way to achieving solid double-digit production growth for yet another year. As you all recall, at the beginning of the year, we set our 2008 production growth target at 15%, including the impact of property sales. Given the excellent drilling results achieved so far in the year, we're rethinking our production growth target and will come out with a revised target after tomorrow's Board of Directors meeting. Due to the higher volumes in prices and the stable cost structure, full-year 2008 cash flow from operations is anticipated to increase by more than 30% over 2007. So, as you can see, 2008 shapes up to be a tremendous year for Range and its shareholders. While focused on getting our wells drilled and hitting our quarterly production targets, we also continue to expand our drilling inventory and make some exciting progress with some of our emerging plays. As you heard from Jeff, our technical teams have drilled some additional high rate wells, especially in regards to the Marcellus Shale play. Due to our success and that of some of the other operators in the play, the competition has risen dramatically and new players continue to enter the play. Given our success and the additional opportunities we've identified, we will be discussing our plan and strategy for this play with our Board of Directors at tomorrow's meeting. To pursue these opportunities, we will need to move quickly and aggressively, and we will likely need to allocate additional capital resources. Although our expanded technical teams gives us the ability to move aggressively, we will maintain disciplined approach in our financial regimens. In summary, looking at Range today, we have the largest drilling inventory in our history with over 11,000 projects in our inventory. Our inventory together with our emerging plays represents 16 Tcf to 22 Tcf of future growth potential. This equals 7 to 10 times our existing proved reserves. While we are extremely excited about the growth potential at Range, we are also intently focused on delivering each and every quarter. The first quarter of 2008 is a shining example of the commitment by all of the Range employees. With that, operator, why don't we open up the call for questions?
Operator: Thank you, Mr. Pinkerton. (Operator instructions) Our first question comes from the line of Mr. David Tameron with Wachovia. Please proceed with your question.
John Pinkerton: Good morning, David. Operator, why don't we go ahead to the next and David may be able to come back in. And questioners, let's try to limit our questions to one per questioner, since we have a lot of people on the call today that have queued up for questions.
Operator: Our first question comes from the line of David Heikkinen with Tudor, Pickering, Holt. Please proceed with your question.
David Heikkinen – Tudor, Pickering, Holt: I had a question, thinking about East Texas and your acreage that you have there, remember, you had some deep Bossier potential at one point. Can you give you any update as far as thoughts about drilling deep Bossier and capital there given some of the recent results that we've seen?
Jeff Ventura: Let me talk about that. We do have a position there that I think is a very high quality prospect. We really haven't talked about it at all publicly much. I can tell you we're currently in the process of starting a 3-D and we have a nice acreage position and we'll probably drill a well next year. So, it's a good quality prospect. When we talk about the 16 Tcf to 22 Tcf of upside, that's – maybe it's the point you are getting to, there's a lot – we have a high quality team that is continuing to generate good ideas. And we sort of talk about things and in just-in-time fashion. There's a lot of other good things that the teams will continue to generate and as we get closer to drilling them or after we drill them, we'll talk about those. But, it's a great prospect. I'm excited to see the 3-D and to ultimately drill the well.
David Heikkinen – Tudor, Pickering, Holt: Just thinking about the next layers of the onion as you move forward. Thanks, Jeff.
Operator: Our next question comes from the line of Mr. David Tameron with Wachovia. Please proceed with your question.
David Tamerson – Wachovia: Okay, guys, hear me okay now?
John Pinkerton: Yes, David, thanks.
David Tamerson – Wachovia: Okay. Yes, congrats on a nice quarter.
John Pinkerton: Thanks.
David Tamerson – Wachovia: A couple questions, John. A bigger picture, does the market change your plans for divestitures, what you have targeted, just given the fact where oil and gas prices are trading today?
John Pinkerton: David, that is a great question. We've completed one divestiture, as we stated in the first quarter. We've got some other things kind of teed up that we are looking at to sell. The one thing that we are starting to see out there, that in the case of some of the smaller transactions with some of the – that are typically bought by some the smaller producers and operators, we're seeing a less aggressive behavior. And I think that's directly related to the scale back in capital and the cost of capital to those particular companies. Now, we're still going to try to get some of those things done but that is at least – again, we are just starting the process. It's early in the year. But the good news is that, that being said, Chad and his team are doing a good job. There's a number of companies that have come to us with specific ideas to acquire specific things [ph]. So, we've got some pretty decent negotiations going on on several different fronts. So, I'm still – how should I say, optimistic that we'll continue to get the asset sales done. That being said, we obviously, to the extent that we've got numbers for each one of these projects and if we can sell it at a price that we think is attractive and makes sense for our shareholders, we will do it. If we don't, we won't. So, there's really not any pressure. So, we're kind of in one of those positions that if we get an offer that we like, we'll do it. If not, we'll just move on and go on down the road and either try to sell it later or tee up something else.
David Tamerson – Wachovia: All right, thanks.
Operator: Our next question comes from the line of Mr. Joel Allman with JPMorgan. Please proceed with your question.
Joe Allman – JPMorgan: Good afternoon, everybody. Could you give us some details on that Woodford Shale play that you referenced at the end with the second well that you've got drilled? Could you talk about cost per well and what you are expecting in terms of reserves and what your plans are?
Jeff Ventura: Let me give you a little bit of detail. Again, it's not one of the plays we're going to be leaders in and I want to draw the distinction. We're in the Ardmore Basin, not the Arkoma Basin. So, a different play from where Newfield and Devon have done a good job and are creating value. We are south of there. It's in the infancy of that play. It is the Woodford, it has some different characteristics. I mentioned it just because even though our acreage position and it's our IR materials and presentation, it's on the order of 16,000, 17,000 acres, it's not of the scale that the other plays. It still though could be several hundred Bcf net to us. I just thought it was encouraging that on our second try we ended up with a fairly reasonable well. We still, hopefully, will do better with that. And I think it's just too early to talk about cost and reserves. I think we're in the infancy, within the next – by the end of the year, I think we'll have a real good feel for what it is. Other players are starting to drill also. So, any time you're in a shale play, one of the things that's really exciting to me about the Marcellus, is we drilled 10 vertical wells and led the play. And then, really early on started drilling horizontals and in short order, started drilling some excellent wells. And the last 10 wells of 3 to 5 million a day, have actually averaged over 4 million per day, which is – I'm really excited about. It tells me we've got quality acreage with a quality team. And the difference in the Ardmore Basin, obviously, we don't have near the position and I don't think the play has near the potential but it still could add a lot of value to Range.
Joe Allman – JPMorgan: Great. Thanks for that.
Operator: Our next question comes from the line of Mr. Jack Aydin with KeyBanc Capital Markets. Please proceed with your questions.
Jack Aydin – KeyBanc Capital Markets: Hi, guys. Jeff, the three wells that you announced 4-6, 2-6, 5-8, could you give us indication what is the average cost and how long were the lateral of those wells?
Jeff Ventura: Let me talk about the cost a little bit. In the – again, let me back up and say within the play, Range has 700,000 high-graded acreage. And our acreage exists across the entire breadth, from the southwest up to the northeast part of the play and stuff in the middle. If you look at – and we've drilled vertical wells across that entire position, roughly 90 some total wells or whatever it is. If you look at the horizontal wells, by the let's say end of the third quarter, we'll have drilled horizontal wells across the entire position as well. And depending on where you drill will affect the cost of the wells. Like I said before, in the areas where these wells are, the depths are 6,000-6,500 feet deep. In a development mode, I think ultimately our costs will be approximately $3 million. As you get into the deeper parts of the play, 8,000 feet obviously, you're going to have to add some extra costs for the extra depth. But so far, I'm really excited about the rates. Our oldest well now has been on 250 days, production looks good. As you know, we're being cautious about what we say and what we can't say about it because we think we have a great position and we're an industry leader. We want to keep that for as long as we can and continue to grab acreage or snap up acreage that we think could really add a lot of value to our shareholders. So, that's what the cost of the wells are. And you also asked in terms of lateral and length. I think that kind of stuff, until the acreage is locked up, we're going to keep that information tight.
Jack Aydin – KeyBanc Capital Markets: Thank you.
Operator: Our next question comes from the line of Mr. Rehan Rashid with FBR. Please proceed with your questions.
Rehan Rashid – FBR: On the rig count for the Marcellus, Jeff, what do you think of how much can you accelerate it between now, year end and sometime next year? And also generically speaking, is there any way to sum up lessons learned in the Marcellus from the first vertical well to the 63rd and the same thing for horizontal?
Jeff Ventura: How fast can we accelerate it? We'll probably keep roughly three rigs through the end of the year and drill about 40 horizontals this year. One thing I'd go back to, and again it's early, but when you get in a play where you have quality production and quality wells, you can build rates fairly efficiently without running a lot of rigs. And you can look at the other analogous shale plays, like the Barnett and the Fayetteville or even look specifically what Range has have been able to do in the Barnett, where we've grown rates to approaching 100 million per day and with really only running six to eight rigs, six or seven rigs at any point in time. As we go through the year, we certainly have the capacity in our team to run more rigs and to go faster. Like I said this year, though, parts of the play, obviously where we're drilling the quality wells, it looks like it's commercial, we're building infrastructure in those areas, that will be through this year. Next year, you're going to get the ramp up and that's really where you'll see the increase in the number of rigs that we're going to run. We'll come out in the fall or some time late in the year and talk about what we think that will be. Other parts of the play are still going to be being delineated with horizontal wells and we'll see what that is. And of course, the third we're doing is picking up acreage. As far as lessons learned, I would love to present to you and the industry and I guarantee we will at some point in time, all the lessons we learned. It will be great, (inaudible) papers, maybe a book some day, who knows. But, I can't say that right now. But, I would love to share that with you.
Rehan Rashid – FBR: All right. Thank you.
Operator: Our next question comes from the line of Mr. Jeff Hayden with Pritchard Capital Partners. Please proceed with your questions.
Jeff Hayden – Pritchard Capital Partners: Hi, guys. Jeff, I'd love for you to copy that book when you do write it.
Jeff Ventura: Pinkerton said he'll autograph it for you.
Jeff Hayden – Pritchard Capital Partners: Excellent. You talked about some of the wells that you guys have had on for awhile, 250 days or so. Can you give us any color on how that decline curve is looking relative to the Barnett, some of the other shale plays that people are working on these days?
Jeff Ventura: I really can't. Really, what everybody wants to know, at the end of the day, is how much do the wells cost, what are the reserves, what's the shape of the curve, therefore what are the rate of return and finding costs and to be able model that. We have all that information. Obviously, we're excited about the play in that we're continuing and we're building infrastructure in parts of it. We're picking up acreage and we think the play has a lot of upside. But until that is locked up and I hate to keep saying the same thing, we're just going to have to keep that information tight.
Jeff Hayden – Pritchard Capital Partners: Okay. Let me try one other one.
Jeff Ventura: When the acreage is locked up, we will share that and I can't wait to do it.
Jeff Hayden – Pritchard Capital Partners: Okay, great. Let me try one other quick one then. You said you'd have your acreage pretty much drilled up with horizontal wells by the fall. Can you give us a sense of how many different counties those kind of 11 horizontal wells you provided test rates on so far cover?
Jeff Ventura: Now, we really don't want to talk about where they are either. I might drill it up, I'm saying we'll have delineation wells in each of our key areas. We've already done that vertically and we will have done that horizontally by the fall. Then obviously, when you get into development mode, then you're going to have a lot of drilling in certain particular areas.
Jeff Hayden – Pritchard Capital Partners: Okay.
John Pinkerton: That being said, I think – this is John, I think the one thing that we've learned, this is kind of the lessons learned and I will give you kind Chapter 1, at least the first paragraph of Chapter 1. I think the one thing we've learned is that it's not all the same. One, that it's not all the same in terms of the other plays, the other shale plays. But also, within the Marcellus, we've found some pretty dramatic variability.
Jeff Ventura: Which I would add exists in the Barnett and exists in the Fayetteville and all of these other plays as well.
John Pinkerton: So, the thing I would be very careful about is I would not wave your hand over the entire Basin, 60 plus million acres and say it's all the same. Because the one thing we will say with heated agreement around the table here is, it's not all the same.
Jeff Ventura: Just like in the Barnett, if you are in Tarrant County and Johnson County, those tend to be better areas than a lot of the other ones.
Jeff Hayden – Pritchard Capital Partners: All right, guys, I appreciate it. Congrats again on a great quarter.
Operator: Our next question comes from the line of Mr. Brad Olsen [ph] with Strome Investment Management Please proceed with your question.
Brad Olsen – Strome Investment Management: Good morning, guys. Can you hear me okay?
John Pinkerton: Yes, Brad.
Brad Olsen – Strome Investment Management: I just wanted to ask you a quick question. If you guys could give some color on kind of the direct operating costs? What percentage of those are fixed and what percentage do you guys have some ability to influence or put some pressure on? And also, insofar as there are discrepancies across the geographical regions that you operate, were there any areas that experienced high rates of increase in direct operating costs versus lower?
Roger Manny: Hi, Brad, this is Roger. I can try to field some of that for you. The big news on the operating cost front is that essentially when you take out the Gulf of Mexico assets that we sold last year, we're flat on an Mcfe basis last year to this year in the first quarter. So, we're real encouraged by that. We began to see some plateauing of our direct operating costs last year and we've been able to keep that plateau going. When you look at the actual individual components fixed versus variable, I can hit on a couple of high points for you. We finally kind of broke the back a little bit on saltwater hauling. It was down $0.02 for the quarter. We're up a tick on workovers. You'll see that in the press release. Contract pumpers were up $0.01. Well services were down $0.01. You've got a lot of ups and downs going on in our up cost categories and we do track all of these obviously very closely. But, as for the general direction, we're very pleased we've been able to keep it flat, and again our guidance is sort of in that mid $0.90 range for the rest of the year.
John Pinkerton: Just to add on, this is John, I think to move off the detail and move up a little bit just on that, I think if you think about the lease operating costs, there is a component in there that's salaries and wages. And I will say that the salaries and wages inflation in this business is pretty dramatic and it's with the field people all the way up through the technical staff. There is huge demand for those people. And our people plus everybody else is getting offers every day. So, we're seeing inflation in that and we're combating it by just trying to be a leader. And the good news is that since we issue equity to every single employee every year, there's a fair amount of walk-away value if they – that they're going to lose it if they walk away. So, that keeps people around for awhile. But at the end of the day, we've got to pay people competitively to keep them around. So, there will be pressure upward. In terms of fuel, the fuel and the electrical and stuff like that that are on the leases, we're all – just like your house, these producing wells aren't any different. You're seeing those kinds of things go up. The one thing I think we're seeing flatten pretty materially is the service side and again that's very local, depending where you are and everything. But, we've – the good news is that's I think, at least from our perspective, that has risen and now it's flattening out and I think that's one of the reasons why you saw our costs stay relatively flat there. The other thing I think is really important is that the – is as we continue to sell off what we call the more mature or higher cost assets, that will be a way to get more cost efficiency in terms of your lease operating costs. And last year, we sold some Gulf of Mexico assets that were high operating costs and we sold some chalk properties that were very high. The properties we just sold in East Texas, which were some shallow oil properties, but they were 98% water cut, those operating costs for example were well over $1.50 per Mcfe. Now, it's still really high margins because it's oil, but that's a perfect example of where, if you really work this business hard and you're really disciplined and you really look at all of these different factors, which we do every month in our reviews, you can do some things that over a period of time will influence that. So, that's kind of a 50,000 foot.
Brad Olsen – Strome Investment Management: Great. Thanks a lot, guys.
Operator: Our next question comes from the line of Marshall Carver with Capital One Southcoast. Please proceed with your question.
Marshall Carver – Capital One Southcoast: Yes, I'm thinking about the 700,000 acres that you have versus the 1.15 million total net acres in Appalachia. With the vertical wells drilled across your acreage, is that – were those drilled across the 1.15 million acres and that's how you are able to high-grade to 700 or was that drilled across the 700 and almost all of that looks good?
John Pinkerton: Well, let me lead in and then I'll turn it over to Jeff, just so we can get the numbers right. Range owns and we have been in the basin for 35 plus years here. We own over 2 million acres in the basin, of which about 1.15 million we believe, based on the Marcellus fairway, fits into the Marcellus play, the 1.15. So, you go from a little over 2 million acres to 1.15 million being the Marcellus fairway, of which we've high-graded through a number of different means, which I'll turn over to Jeff in a second, down to the 700,000. So, that's the progression. Jeff?
Jeff Ventura: Yes, and that's an excellent point. And how we high-graded it, we actually have either drilled – of those 90 wells in the summer have been dispersed through that entire acreage position. And then in addition, remember like John said, that's the roots for our company. So, we actually have existing well bores, in some cases, we were able to test through a recompletion or plug back or relatively inexpensive deepening. So, it's a combination of all those things but we have a lot of control. Plus we have a lot of historical control as well by being in the Basin so long, a lot of data.
Marshall Carver – Capital One Southcoast: Okay, that's helpful. Thank you.
Operator: Our next question comes from the line of Mr. Eric Hagen with Merrill Lynch. Please proceed with your question.
Eric Hagen – Merrill Lynch: I'm sorry. I forgot to queue. They've all been answered. Thank you.
Operator: Our next question comes from the line of Mr. Nazir Bayet [ph] with Maurie Capital [ph]. Please proceed with your question.
Nazir Bayet – Maurie Capital: Good afternoon. I'd like to ask – John mentioned that there might be some more capital requirements. Are you guys looking to issue more stock in the near future?
John Pinkerton: Well, again we've got a Board meeting tomorrow and I'm one of eight Directors. So between Jeff and I, we've got a quarter of the votes. So, even if whatever we want to do, we've got to get the Board. But I think at the end of the day, when you step back and think about what our financial regimen is and what we said at the beginning of the year, is that we wanted our capital expenditures to equal our cash flow plus our asset sales. Because we want to stay financially regimented, we want to stay disciplined. And then, on the other side of it in terms of the acquisitions to the extent that we do some material acquisitions, obviously, we'll go to the capital markets. So, that is the framework with which we financially drive this Company. That being said, we've done some acquisitions. We're looking at additional opportunities especially in terms of the Marcellus and the acreage grab, if you want to call it that. And we will sit down with the Board tomorrow and get their input and then we'll make some decisions on whatever – however the Board wants us to go. Obviously, Jeff and I will have our recommendations to the Board and whatnot. But I think that should give you a framework in terms what we are doing. That being said, in terms of just directly answering the question, given – and I can only speak for myself because there are seven other directors. I would only issue equity if I knew that equity was going to be used in a way that – not in any way would dilute our "upside per share", Because I'm the largest individual shareholder and I can damn well sure tell you that we're not going to dilute our upside per share as long as I'm here.
Nazir Bayet – Maurie Capital: Okay. Thank you.
Operator: We are nearing the end of today's conference. We will go to Mr. Joe Allman of JPMorgan for our final question. Please proceed with your question.
Joe Allman – JPMorgan: Great, thank you very much. Could you give us what you are seeing in terms of latest trends for drilling and completion costs? And in terms of the Barnett Shale acquisitions, I think you said there were two of them, could you give us the metrics there? What kind of productions did you buy, what kind of reserves you guys maybe bought, what kind of upside?
Jeff Ventura: In terms of costs both for rig rates and pumping services, in really all of our areas all four areas they are trending down, the only thing that's trending up right now is steel and tubulars, which have gone up significantly in the last few months. But remembering that those are a small part of the total well cost. So, the good news is costs are coming down. And not only are costs coming down but we've got strong technical teams and they're working hard to become more efficient in terms of how – reducing the number of days on well, quicker ways to drill. So, when you couple the more efficient drilling with costs coming down, that will really help improve our bang for the buck through capital. So the good news on the service side. And the other thing, just to tack on a little bit to the last question, the other thing we do as we got through the year obviously, we look at reallocating capital to our highest rate of return, best cash flow, most important projects and we continually high-grade that. The other thing – Range is rich in acreage but a lot of that acreage that we have clearly in all of our areas is held by production. So it gives us a lot of flexibility to shift capital around.
John Pinkerton: On the acquisitions, we did two acquisitions during the quarters I mentioned. The largest one, which is the one that we publicly disclosed was the – we bought some Barnett Shale properties from DTE, the Michigan utility. Those assets – when we closed the deal, and that was closed I think at the end of January, we're making right around about 12 million a day in production, somewhere in that area. And we – that's about $280 million. We think when you run through the numbers and run it all out, we bought those on a fully developed basis somewhere around $2. But again, now we've got to develop it out and Whitley and the team are doing a good job. We just drilled a couple of nice wells that we'll get on production there. The other acquisition was a smaller transaction, about $30 million. That was really pretty interesting because it's a nice piece of acreage, not too far to the northeast of our Carter Industrial Park. As you all recall, we drilled I think one of the best wells ever drilled in the Barnett at about 12 million a day initial rate. So that little deal was somewhere between 2,000 and 3,000 acres. It essentially had a couple of producing wells on it but fairly marginal wells. They were drilled by a smaller operator and we think – our team, quite frankly, just thinks we can do a better job of drilling and completing in there and it has substantial upside. So, it's really hard to tell on that one. That one, we really didn't buy for the proved reserves for any reason. And when you look at us in the Barnett, that's really how we're going to make money in the Barnett. We're going to drill up 100,000 acres. But we're not going to be super competitive on buying properties for their proved reserves. Where we're going to make money is where we can identify opportunities, to find things that are not proved and make them proved in a very timely basis that will create significant value for our shareholders. And to be honest with you, that is really across all of our projects, quite frankly. We are not going to be in the business of buying proved reserves. We're going to be in the business because we just think that's – it's just too costly. If we're going to try to keep paying development cost structure in the top quartile in the industry, I don't think you can do it by simply buying proved reserves, given the cost of proved reserves today.
Joe Allman – JPMorgan: Okay, appreciate that. Thanks very much.
Operator: Thank you. This concludes today's question and answer session. I'd like to turn the call back over to Mr. Pinkerton for his concluding remarks.
John Pinkerton: Thank you, operator. I think in summary, I think the key here is, there's obviously been a kind of a firestorm of information and goings on in terms of the Marcellus Shale play. And as Jeff said, we're keenly interested in it. We obviously have committed a fair amount of capital over the last several years and have got what I think is a leading team up in Pittsburgh that will be approaching 100 people here very shortly, and we're really excited about that play. That being said, it is not the only play at Range that we are interested in. This is a portfolio company. What drove first quarter results was this portfolio. It was each division doing as well, if not better, than the business plan for the year. So, I want to congratulate each one of those divisions. And the other thing I want to just make it clear to you, essentially none of this production increase was related to the Marcellus. Essentially, all of our Marcellus production after we test these wells is essentially shut in awaiting infrastructure. So, all of that increase was driven by these other plays, in particular the Barnett, in particular Nora, but also our Tonkawa play in Oklahoma, our Furman play in West Texas and some of the other plays in Nora and Virginia, which is still my favorite field because I think it has some of the best economics and it will have the best economics for the next 30 years. And we're still just peeling back the onion there. So again, although the Marcellus is getting enormous coverage and obviously it deserves it given the potential, the one thing that I am keenly focused on and Jeff and I are connected to the hip here, we're focused on developing the upside and that's important. But we were also I think more focused on delivering every quarter. Because we think at the end of the day, what's really going to drive this stock price is delivering each and every quarter. Our cash flow was up almost 50% year-over-year. If you just take the $1.57 and multiply it times four, which is pretty simple math and I wouldn't – you've got to be smarter than that. But if you just do those numbers and look at those – that cash flow number versus where the analysts have it, it's obviously significantly higher. So, we're in the business focused on developing – of creating the upside. But the real key here is taking that upside and getting it through the income statement and getting into something that's called shareholders equity, and that's really what we are focused on. I would really – when you look at companies to buy and sell, I think the real key here is not only do they have the upside and whatnot, but how good are they at taking this upside and developing it and getting it into the income statement and getting stockholders equity. And that's really the hard part of this business to do that quarter in and quarter out. And again, as I say every conference that I attend and that my favorite slide in our presentation is the one where we had 21 consecutive quarters of sequential production growth because that really is what drives our business. That coupled with Roger's favorite slide, which is the cost slide, where we've been one of the top quartile F&D and LOE companies in our peer group for a long time. And so, when you take those two and you couple that together with the upside that Jeff and the team have put together, not only the Marcellus, but also the Nora play, which is just really tremendous. And then, Whitley and his guys have done in the Barnett and continue to do in the Barnett. I mean, Jeff mentioned that we drilled a 5 million a day well in Parker County. That is stunning. There aren't that many 5 million a day wells drilled in Parker County. And the reason that was done, we accomplished that, because it's clearly not as good a rock as the rock in Tarrant and Johnson County. It just shows you the quality of the team. And again, in this business, it all gets back to the quality of the team and it's not just the people sitting around this table. It's really the 750 employees we have at Range that are really working hard each and every day. And the good news, they are benefiting because they're all stockholders. So, why don't we terminate the call. Thank you very much for joining us and we'll be – if you didn't get – if you tried to ask a question and didn't get the opportunity, feel free to call Rodney and anybody else on our team or Jeff and I or Rodney will be happy to spend some time with you and get those questions answered. Again, thank you very much for joining us and we look forward to seeing you or talking to you again at the end of the second quarter.
Operator: Thank you for your participation in today's conference. You may disconnect your lines at this time and have a wonderful day.